Operator: Thank you for standing by and welcome to the Allegiant Travel Company's Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's program maybe recorded. I would now like to introduce your host for today's program Sherry Wilson, Director of Investor Relations. Please go ahead.
Sherry Wilson: Thank you, Jonathan. Welcome to Allegiant Travel Company’s fourth quarter and full year 2021 earnings call. On the call with me today are Maury Gallagher, the company’s Chairman and Chief Executive Officer; John Redmond, the company’s President; Greg Anderson, our EVP and Chief Financial Officer; Scott Sheldon, our EVP and Chief Operating Officer; Scott DeAngelo, our EVP and Chief Marketing Officer; Drew Wells, our SVP of Revenue and Planning; and a handful of others to help answer questions. We will start the call with commentary and then open it up to questions. We ask that you please limit yourself to one question and one follow-up. The company’s comments today will contain forward-looking statements concerning our future performance and strategic plan. Various risk factors could cause the underlying assumptions of these statements and our actual results to differ materially from those expressed or implied by our forward-looking statements. These risk factors and others are more fully disclosed in our filings with the SEC. Any forward-looking statements are based on information available to us today. We undertake no obligation to update publicly any forward-looking statements, whether as a result of future events, new information, or otherwise. The company cautions investors not to place undue reliance on forward-looking statements, which may be based on assumptions and events that do not materialize. To view this earnings release as well as the rebroadcast of the call, feel free to visit the company’s Investor Relations site at ir.allegiantair.com. With that, I’ll turn it over to Maury.
Maury Gallagher: Thank you, Sherry. Good afternoon everyone. Thank you for joining our call today. We were profitable again in the quarter just ended. The model and our personnel continue to shine in these very difficult times. Operations were returning to normal in December when Omicron took over. But it's trending down and hopefully will be just a bad memory by March. You will hear an overview of our performance and what we believe we're coming months hold in just a moment. Or take some time and reflect on some of our history. We have completed our 20th full year at Allegiant, first year was 2002. We early on, understood we could not copy existing carriers and attempt to beat them at their game. So, in early 2002, we began experimenting and implementing this model you have come to appreciate and admire. It was developed and refined during the next three years and 20 years in, it continues to differentiate us. During these 20 years, we have led the industry and operating margins as well, averaging 15% During this time, while the next closest Southwest and Alaska averaged 10%. That's a 50% difference in margin. We also led the industry during this time with 69 consecutive quarters of profitability, the first quarter of 2020, including remaining profitable during the 2008-2009 period when all others were falling underneath the zero line. The end of 2021 completed our 15th year as a public company. We've had 60 of these quarterly calls. This is our 61st. Our market cap on December 8th, 2006, our first day as a public company, was approximately $400 million. Today, we have a $3.2 billion market cap or an 800% increase in value for our shareholders during these 15 years. No one in the industry has had anywhere close to this wealth creation. In the past years as we have emerged from COVID, we have made the necessary strategic moves to position us for the coming years including a terrific order we recently placed with Boeing new international relationship that will allow us to enter the international markets in the next few years. Investing in branding tools including Allegiant stadium and soon Sunseeker necessary components of our branding for Allegiant 2.0. Our continued development of our incremental, ancillary and third-party revenues. And lastly, a greatly enhanced balance sheet with almost $1.2 billion of cash. Allegiant Travel Company is extraordinarily well-positioned. Our airline and our unique competitive model continue to be the backbone of our success. 75% of our routes, by the way, are still not competitive. We have years of growth left with as many as 1,400 new routes that we feel strongly will provide us that growth opportunity. And why have I told you this history because this team this company has proven year in and year out they can execute. And while at times history has not been a reliable prognosticator, this time, I believe it's very much very reliable. Lastly, this management team is the best in the industry in my opinion. When combined with the best team members who have proven themselves continuously for the past 20 years. We will continue to lead the industry in our rightful place at the head of the pack. John?
John Redmond: Thank you, Maury and good afternoon everyone. I would like to first and foremost thank every one of our team members for their incredible efforts throughout this crazy 2021 year. Allegiant's story and history are amazing to hear and difficult to replicate for any company in any industry. The company is not a model of consistency. The 10 years depth and breadth of our management team is a foundation of our success. As I reflected after the Boeing Investor Day, we recently had two words that were used most in that call. And then all preceding calls and presentations that have participated in the past are opportunistic and flexibility. I'm confident you'll hear these words used going forward as well. That's our DNA. Everything that company has ever done has created flexibility or took advantage of an opportunity, regardless of whether the timing was pre-pandemic or post. Post-pandemic when we did the equity raise May of 2021, we raised growth capital when our stock was trading close to all-time highs, while other carriers raised survival capital throughout 2020. This opportunistic timing created incredible financial flexibility. To-date, during the pandemic we have purchased or leased 25 A320 series aircraft at the most opportunity prices we've ever seen. Furthermore, we purchase roughly $30 million in spare parts and engine-related supplies at a discount of approximately 40%. Sunseeker was started and will be completed during the period of time that allowed us to take advantage of the Trump Tax Reform Act. Likewise, the recently announced 50-plane Boeing purchase to be completed by the end of 2025 was not only on favorable terms, but will also take advantage of the Tax Reform Act before its expiration. This past year has had its highs and lows, but we stayed the course and ended the year in a much better position than it started, not only financially, but we added nine cities to the network, further broadening our reach and exposure. 2022 will truly be a foundational year as we move into the 21st year of the company's existence. Quickly on Sunseeker, I mentioned on the previous call, the budget for Sunseeker Resort was originally $500 million. We were on track for the anticipated opening and on budget when we stopped the project due to the pandemic. When we restarted the project in August of 2021, the budget was revised to $510 million, given the costs incurred while we were shut down. After restarting the project and spending some time understanding the impact to the budget due to the unexpected supply chain that impacted price and delivery timeframes, I mentioned in the last earnings call Q3 2021, the budget could increase by 10% to 15%. That estimate has not changed as of today. In order to provide some level of comfort, we have bought out -- we have signed commitments for 74% of the revised budget assuming the high end of the estimate of $585 million. By the end of Q2 2022, we should be roughly 100% bought out. As a reminder, we will restart Sunseeker segment reporting beginning year end 2021. The following Sunseeker Resort data points are Q1 2022 guide. Capital expenditures should be between $50 million and $60 million and pre-open expenses will be in a range of $3 million to $4 million. And with that I will turn it over to Scott DeAngelo.
Scott DeAngelo: Thanks, John. Throughout Q4, the Allegiant brand continued to shine, attracting 9% more visitors to allegiant.com who drove 16% more transactions versus 2019. Simply put, we attracted more web visitors and converted them into customers at a greater rate to drive more bookings among both first time and repeat customers than in any fourth quarter in our history. As we did each quarter in 2021, we sequentially improved, narrowing the gap versus 2019 during the first half of the year and widening the lead versus 2019 during the second half. For Q4, this included both overall passenger revenue, which beat 2019 by nearly 9% and third-party revenue, which beat 2019 by nearly 54%. The Allways Allegiant World MasterCard program was a key driver having a strongest year ever in terms of new card signups, average spend on the card, and total compensation to Allegiant. Each month of the fourth quarter and seven months in the last three quarters, ranked among our top 10 months ever for new card signups. In total, new card signups were up by 27% for the quarter and 16% for the year versus 2019. While full brand compensation to Allegiant was up by 52% and 38% for the quarter and the year, respectively versus 2019. For the year we focus currently on the 1.9 million passengers who flew with us and drove $880 million of revenue in 2019, but did not fly during the main part of the pandemic during 2020. I'm happy to report that we won back nearly 40% of these customers and one-third of that revenue this past year despite continued periods of pandemic-driven customer uncertainty and demand headwind. 2021 saw the launch of our new web and our customer experience, the launch of Allways Rewards their first ever broad based non-credit card loyalty program and the activation of major strategic partnerships with Live Nation and Allegiant Stadium, as leisure travelers returned to attend live music and sporting events [indiscernible]. In summary, the Allegiant brand is thriving and our direct-to-consumer distribution model, our all non-stop flight network, and selling beyond the aircraft to increasingly win share of leisure travel dollars for asset-light high-margin third-party products is enabling us to proactively stimulate demand in preference for Allegiant, while driving deeper levels of customer engagement across all we offer at allegiant.com and ultimately setting up unprecedented growth prospects for Allegiant in 2022 and beyond. And with that, I'll turn it over to Drew Wells.
Drew Wells: Thank you, Scott and thanks everyone for joining us this afternoon. I'm quite pleased with the fourth quarter revenue results. Total revenue came in 7.8% higher than 2019 on system ASM growth of 13%. In a lot of ways, the fourth quarter marks more normalcy and how we are thinking about the world. Peak demand periods, namely the holidays, saw load factors and revenue per flight that largely mirrored pre-pandemic norms. Once again, the network was expanding to the tune of 56 new routes and five new airports. Those routes were part of the 10% of ASMs in their first 12 months of operation. That feeling of normalcy was interrupted in December and COVID -- reared its head once more. We have proactively cut roughly 10% of our anticipated December schedule and a smaller portion of November to right-size and protect the schedule. However, despite manifested in a new way, as closer end holiday bookings never materially slowed, while the impact of the industry's operation was heavily felt. Off-peak January and February did feel the impact of slower bookings and the overall outlook for the first quarter is an exaggerated story of peak versus off-peak demand. The off-peak period will lag considerably in January border load factors finished just shy of 70%. However, I expect the peak to continue to be on par with pre-pandemic levels. Peak demand is incredibly strong. I think March could book over 85% and while still early, a relatively normal booking curve gives a bit more insight into summer, which is also showing great promise. As we continue to compare back to 2019, we are still mired in the NBAD retirement comp and the resulting muted growth. This results in modestly higher January and February percentage growth first peak March. Even with an elevated growth rate in the first quarter, our 1Q's scheduled service compound growth rate since 2018 is just 7%. It is important to note that nearly 90% of markets are still running just twice a week through the off-peak season. This means growth is primarily fleet and market-driven and not increased frequency. Another 13 markets inaugurate service in the first quarter and just over 12% of first quarter scheduled service ASMs will be in their first year of operation. Similar to the holiday peaks, the fourth quarter and despite incredible demand, March capacity has been reduced around 11% as they continue to work alongside our ops teams to right-size and protect the schedule. We are forecasting our first quarter ASM guide at plus 19% to plus 23% versus 2019. The weather patterns currently forming in the Midwest will put some pressure on the top end right out of the gate. The distribution of peak versus off-peak demand in ASM along with higher new market mix puts a bit of a feeling on how the quarter is likely to take shape and we are guiding the first quarter total revenue to be up between 5% and 9.5% for 2019. The continued fluidity of the environment and backloaded nature of the quarter drives slightly more uncertainty and in turn a wider range. With that, I'd like to pass it over to Greg.
Greg Anderson: Drew, thank you and good afternoon everyone. 2021 was another challenging year and it has been amazing and humble to see team Allegiant continually rise to the occasion in this unpredictable environment. During 2021, we inducted 13 aircraft into our fleet, we added more than 700 team members, we flew 8% more ASMs than we did in 2019. Additionally, our passenger and revenue accounts for the past two quarters exceeded the same periods in 2019. We had three consecutive profitable quarters including the fourth and a full year adjusted operating margin of 6.6% and adjusted net income of $35 million. These are industry leading results in 2021 and in recognition of these extraordinary efforts, it is with great with great pleasure to mention our Board approved a special variable compensation payout to all of our team members based on GAAP results. Our sincerest thanks to all of you. For the fourth quarter, we reported adjusted earnings per share of $1.18, our third consecutive quarter of positive adjusted net income. Demand and revenue are strong. Even in the face of Omicron and disruptive weather, our 4Q 2021 revenue was up 8% year over two year on increased capacity of 13%. On the cost front, we still have some work to do. Adjusted operating costs excluding fuel outpace growth and we're up 21% year over two year. On a unitized basis, our adjusted CASM-X was $0.0724 or up 7% year over two year. Excluding the effects of our IROP costs specific to customer compensation during the fourth quarter, our adjusted CASM-X would have been $.0673 or flat year over two years. As described last quarter, the largest component of our IROP cost is the compensation program for inconvenience passengers. This is compensation we provide in excess of the ticket amount. We are not aware of any program in the industry near as generous and importantly, our customers impacted by summer IROPs have returned to book at the same rate to those who were not impacted. This customer compensation program drove an incremental $23 million in payments to our impacted customers during the fourth quarter. Turning towards 2022, Omicron continue to rip into January and drove further irregular operations. As Maury noted we extract this volatility to largely be behind us. We expect IROP customer compensation cost to provide roughly $0.30 headwind to our first quarter CASM. Based on our first quarter 2022 capacity guide, we estimate our first quarter CASM-X at a midpoint of $0.0685, up 3% when compared to 1Q 2019. In addition to the elevated IROPs, the primary headwinds around unitized cost year over three are largely driven by inflationary pressures with stations wages and fuel. These headwinds are in part combatted by efficiencies gained and labor productivity as we expect our FTE per aircraft in 2022 to be closer to 42 or 43, which compares favorably to our 2019 average of 48. This decrease primarily relates to management and corporate area scaling with our growth. In addition, our average seat per departure is up by five seats to 3% year over three. ASMs per gallon in the first quarter are also expected to increase by 5% compared to the same period in 2019. fuel prices however, continue to rise and we are currently seeing Brent hovering around $90 per barrel. Elevated fuel coupled with labor constraints, inflationary pressures, and Omicron are some of the current challenges at hand. Given these uncertainties, we are pleased with our measured baseline growth plan for 2022. Today, we expect a comfortable full year 2022 departure growth in the low double-digits compared to 2021. However year-over-year ASM growth should naturally outpace departure growth by roughly five percentage points given the increasing average seats -- stage length for departure. We expect our earnings potential to improve throughout 2022 as the environment becomes more normalized. Our unique model should allow us to layer on more capacity at the appropriate times to drive higher profitability while maintaining the flexibility to not fly if the environment or returns do not justify. This flexibility is further supported by our strong balance sheet. Over the past few years, we have more than doubled our cash balance as well, while nearly cutting our net debt in half. We did not have the enhanced burden of leveraging up with the expensive debt during the pandemic as most other carriers did. And the strength of our balance sheet coupled with our broad network support well our new aircraft order with Boeing for the 50 MAX 737 family-powered by CFM. The operating efficiencies of the MAX aircraft should drive even higher returns on our most productive lines of flying. We are excited to incorporate these aircraft in our fleet. As we do so, we expect a nominal headwind towards unit cost during 2022 due to training and staffing. In early January, we made our first pre delivery deposit for this order and the first delivery is expected in June of 2023. Our full year 2022 aircraft cash CapEx of $260 million includes pre-delivery deposits for this year. For full year 2022, we expect roughly $90 million heavy maintenance CapEx. This is 30% less than our pre-pandemic expectations for 2022. And given our MAX order coupled with the resulting deeper partnership with CFM in supporting our existing CEO engines -- or CO engine, we have increased our ability to more efficiently manage our heavy maintenance program for years to come. Our fleet plan has an ending 2022 with 127 a 320 aircraft, of which 70 are configured at 180.60. Of the 19 incremental aircraft year-over-year, we have already taken delivery of nine. As a reminder, 15 of these aircraft were acquired through finance or operating lease. We expect to exit 2022 with average seats per departure of 177 seats and average ASMs per gallon of 87. As we incorporate the 737 MAX aircraft over the next three years, our ASMs per gallon should increase by more than 10% versus the 2022 exit rate. And we estimate a percentage point increase in ASMs per gallon is worth roughly $7 million in fuel savings when compared to 2019 fuel efficiency levels. In closing, as noted earlier, 2021 was another chaotic year. Throughout this chaos, we felt there were unique points in time to make several moves to enhance long-term value for our stakeholders. These moves include but are not limited to aircraft order with Boeing; partnership with Viva Aerobus, secured financing to complete our Sunseeker project, and increased investments in systems, tools, and infrastructure to better support our long-term growth plans. With many of these major strategic items set, we will continue to focus on getting and staying ahead on the execution front. Team Allegiant has seen and experienced a lot together over many years and I believe our results stand for themselves. With that, I turn it over to questions.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Michael Linenberg from Deutsche Bank. Your question please.
Michael Linenberg: Hey, good afternoon, everyone. Hey, I guess Drew, I want to ask you this question on your model and it's been one of stimulation and low fares. And yet -- it's not just fuel prices going up, it's lots of input costs going up, as Greg talked about. And you look at your capacity growth in the March quarter, although thanks for the context that you provided versus 2018, it's obviously not as much as what the headline number would suggest. But having gone through these cycles before when energy prices run or input costs come -- move up. At what point do you feel like you may have to back off on the growth in order to generate the type of render -- to generate the type of revenue that you need to offset these higher costs? Do you feel like we're close or getting closer? I'm curious about your thoughts and maybe it's more of a philosophical question and maybe even more you can chime in on that? Thank you.
Drew Wells: Sure, I'll kick it off. And Maury, please fill in if you have anything there. I think we're there in terms of having your view based on where fuel is. It's a little challenging when you're running so high a twice a week markets, right, you're really making a decision on do we keep this market for the season or do we not?
Michael Linenberg: Okay.
Drew Wells: For the first part of first quarter, we've opted to keep a lot of those markets in. As we look towards the post-Easter to Memorial Day timeframe, kind of, the next off-peak, we'll see that may not be the case, especially if there's continue to run. So, we're undergoing that right now to ensure that we are right-sized for where oil is and possibly could be trending. For the peaks like March and the summer, our hurdle rate right now just to get into the schedule, given some tighter scheduling there is already well higher than where oil sits today. So, I don't feel compelled, in the least, to cut out the peaks. So, maybe it's a kind of a stay tuned for the late April early May timeframe is that's the next one, I think, we can affect materially.
Michael Linenberg: Okay. Thank you.
Maury Gallagher: The other comment, Michael is, when you've got 75% of your routes that are non-competitive, you have some more power to do things because you don't have somebody pricing against you at that point. And new markets also give you an ability to go in and kind of, set your own pricing, but classically, you can't raise fares just because you want to and because costs are going up, you got to cut capacity, there's no doubt about it. So, you have to be mindful of that.
Drew Wells: We've generally stimulated traffic to where it is given the fares out there and every incremental dollar does put some headwind on most markets. So, we have to be fairly picky in how we deploy that in any way other than typical supply and demand.
Michael Linenberg: Very helpful. And then just one quick one. Just on pilots, I know you didn't -- it wasn't in the commentary -- the prepared commentary, but I'm just curious what you're seeing on really the pilots and the mechanics, I'm talking about just the hiring perspective, it just seems like we're hearing from a lot of carriers. When I say lot, it's out there in the press that it's just getting harder to recruit what you're seeing, et cetera. Thank you.
Scott Sheldon: Yes, hey, Michael, this is Sheldon. It's definitely it's very competitive. We're currently under in Section 6, bargaining with our pilots. We're trying to expedite sort of the renewal of the of the existing CBA and so we, sort of, reupped our efforts there. We ratified our CBA, or the art mechanics ratified their first contract in fourth quarter. So, it gives us some more levers to pull in order to be a little more competitive in the marketplace. We are seeing some attrition go up on the pilot side. If you sort of look at steady state, our attrition runs anywhere from 5% to 6%, that's crept up to below 10%, if you will, majority on that both side, majority go into legacy carriers. And so we clearly see the need, there's a lot of planes coming in and obviously, we need to get something in place in order to support the backend of 2022 and into 2023 growth. And that's obviously the core focus, at least, in my part of the world.
Michael Linenberg: Okay.
Drew Wells: I just going to add, and you may recall, last quarter, the quarter prior, we talked about trying to get out ahead, on the pilot, mechanic, and flight attendants side. And so we, as compared to prior staffing model levels, we've increased -- we went out and increase those and try and get those line level employees and team members in more quickly. And I think we see a lot of strong applicants come and Allegiant is a great place to work. From a pilot's perspective, we have a unique model out and back. So, it's just different. Folks are -- crew members are in their beds at night. So, there is some advantages there also with the ability to move from right to left.
Michael Linenberg: Can I just throw, is it -- for the first time in a long time, are we saying that the ability to advance at a legacy carrier, you're able to advance at a pace that maybe is almost similar to at a relatively younger ULCC? Is that -- because I've never -- I can't think of the last time when we saw maybe a decent number of pilots jumping from, say -- from your company to a legacy?
John Redmond: Yes, I think that's accurate. I mean, if you look at folks that took early outs during 2020 and 2021, these folks are struggling to get back to even 2019 capacity. So, there's definitely opportunities. But steady state, obviously, these guys don't grow at the pace at which sort of yield -- spaces. And just that to add on there, I mean, if you look at the compression of narrowbody rates between legacies and the ULCC space, it's never been more compressed. So, it's getting more and more -- it's less about literally, the rate spread than it is about advancement, right seat to the left. Obviously, each one has a different proposition, quality of life proposition. So, that's an area we do like. We think we can punch above our weight limit, so to speak. And as you probably could add this on the front end, I mean, we're getting 70 applicants a week.
Michael Linenberg: Okay.
John Redmond: Certain classes, we are very successful. So, typical class size for us is 25 to 30. We started a class this week, we had all 24 applicants show up. So, it's somewhat of a mixed bag, if you will, but it's obviously the core focus, but longer term with the rate compression, specifically we think we have a better value proposition than most.
Michael Linenberg: Great. Thanks. Thanks everyone.
Maury Gallagher: Thanks Michael.
Operator: Thank you. Our next question comes from the line of Ravi Shanker from Morgan Stanley. Your question please.
Ravi Shanker: Thanks. Good afternoon everyone. Maury you said at the start of the call that 75% of your routes are still not competitive. Why do you think that's the case? Are they -- is it just too hard for others to compete in those routes? Are they just not getting enough attention? Do you just have a really, really good mousetrap? And kind of how do you think that trends over time?
Maury Gallagher: I'll let Drew do most of the talking about the mousetrap factor and if I were two times a week, it's not enough to support a lot of people. They just don't have the configurations and/or -- when you're flying 12 hours a day, as a ULCC, you need to have markets where you can run those airplanes seven days a week. We can -- we have a lot more flexibility. We can do more if we need to, but majority, we don't. Drew?
Drew Wells: I think Maury hit all the major points. It's far easier when you built your business model to operate at twice a week and have the ability to scale up when demand dictates than the opposite of design your business model around daily service and try to scale that down, which doesn't work very well. So, it's just part and parcel of who we are and core in this business model to cater to less than daily routes wherever no one else, particularly is paying attention.
Maury Gallagher: The other component of this that is something really important to us is in peak times, we can add capacity in really good numbers and no one else is going to react because everybody's making money. You come in underneath, you add capacity, you can add it at a lower cost, and in many cases in big markets, so it's providing another avenue for us to kind of grow into markets who here before we might not have even looked at.
Ravi Shanker: Understood. And I think I know the answer to this, but just given all the 5G headlines in recent weeks, kind of, anything around potential disruption around some of the smaller airports, kind of older equipment, kind of how do you see that trending and any impact you could have? Thank you.
Drew Wells: Yes, I mean, it's in general, it's we're probably one of the least impacted airlines. Obviously, we're monitoring it. But for the most part, it's been somewhat of a non-event for us. The best way I can describe it.
Ravi Shanker: Great. Thanks.
Operator: Thank you. Our next question comes from the line of Catherine O’Brien from Goldman Sachs. Your question please.
Catherine O’Brien: Hey, everyone, good afternoon. Thanks so much for the time. So, just one on the capacity plans for this year, I know we haven't thrown out a finalized number unless I missed it. But I know on the last call, you were talking about low double-digit growth for this year versus 2019 and I know 1Q comps are a little bit messy, of course. So, guessing that 2019 to 2023 is probably the high watermark for this year. But correct me if I'm wrong. But I guess since the last time we talked, are you seeing incremental opportunities to add capacity? Or it just sounded to me like your comments based on ASMs running several points ahead of a double-digit departure increase sound like gross is running maybe a bit higher than you were thinking last time we talked? Thanks.
Drew Wells: Yes, Kate, maybe I'll kick it off and open up to the floor if anyone else wants in. I think it's fair that we're seeing a little bit more in terms of ability to add some capacity. If you remember, last time we were still kind of working alongside with the ops groups to make sure that we can right-size the schedule. And I truly believe that we had Thanksgiving and Christmas in a really good place, barring COVID polls that were kind of unforeseen and how they came to fruition. So, I think kind of the place we've gotten to working alongside one other, kind of, as an enterprise as a whole, has given us a bit more confidence to add in some incremental departures throughout the year. We think you'll see a lot come through the off-peak months, things that will be a little bit less stressful in terms of ads. So, there's probably a little bit more granularity and detail there than simply headline numbers as we go throughout the year. 
Greg Anderson: And Katie, I would just maybe add on the low double-digit growth. As we talked about that last time, we probably should have better explained that that was more around departures, but ASM will naturally -- ASM growth will naturally outpace that due to larger average -- higher average seat per departure plus a little bit longer gauge by about five percentage points is what we're expecting.
Catherine O’Brien: Okay, got it. And so then, I guess maybe just a related question for you, Greg. In the same sentence about talking about low double-digits, on the last call, you also mentioned, you're expecting that full year 2022 CASM-X will be about flat. I guess, is that still the case? And then can you just help us think about what expenses roll off through the year that you'll be able to get to flat CASM just on what I'm guessing is going to be less capacity growth it's how that works? Thanks so much.
Greg Anderson: Yes, no, thanks for the question, Katie. And let's just -- when we're talking flat CASM, that's based on 2019 is about $0.065. And where we sit today, I think we're a little bit higher than that, maybe a point or so, but we'll see. A lot of that's going to be based on capacity. We started in January, as Maury mentioned Omicron ripped through and that puts some pressure on us on the IROB side. And that customer compensation program in which we -- that seems for us to be candid. But you take that out, I think we'll start working through the year. If we -- some opportunities, I think, on the tailwind side, Katie will be as the operating environment or travel ecosystem gets better, ideally, we're able to be more productive with our assets and our team members to kind of, grow up under -- or come in underneath that. So, that that too can help. I think on the station side, one of the things that we're seeing on the inflationary pressures has been around ground handling. I think we've talked about that quite a bit. Catering, for example, we'll see some pressure on the catering side. It's not a big number, but it's still about 10% there, but we offset that through our buy onboard program. I mean, the margins they're still the same. I think you have the potential to improve on station a little bit. We're assuming on the airport side, you have -- we're assuming inflationary pressures around 7% year-over-year, so 2022 versus 2021. And I mentioned that as just as the bigger carriers and some of our larger airports, they start flying international or they start buying more business that should help with those costs and come down, but we're not making any assumptions on that side yet.
Greg Anderson: And Katie, maybe one comment I should have added in the first -- the first bit. I think this is going to be a point of confusion throughout a bunch -- much of this year, but, I think Maury comments are mostly driven on 2022 versus 2021 and not versus 2019, like we're guiding today. So, if you think about departures in 2022 versus 2021, I think a lot of what was said holds true with the lower double-digits and adding a little bit into that -- the comparison versus 2019. So, you probably only found out to be a lot clearer in the comparison a reference point, but I believe that's what Maury was referring to last quarter.
Catherine O’Brien: Okay, got it. Maybe just one really quick follow up, Greg, just to make sure I have this on the CASM. So, you think probably this year, I know you're guiding to anything formal, but maybe like low single-digit inflation versus 2019, it's probably where we end up with some of these IROP pressures in start to year, is that right?
Greg Anderson: Yes, I think you're right. I don't want to come out and formally guide guys that. I think we'll be maybe slightly above where we were at, potentially, depending on how the environment works capacity in the light, but yes, that's right.
Catherine O’Brien: Okay. Thank you so much for all the time.
Operator: Thank you. Our next question comes from the line of Brandon Oglenski from Barclays. Your question please.
Brandon Oglenski: Hey, good evening everyone and thank you for taking my question. I guess, can you guys give us a little bit of context here on the quarter because obviously, capacity growth close to 20%, but revenue 5%to 9%. I'm assuming that there's a big drag here in January and February that you alluded to, can you give us some feeling like how this is booking up for March and the spring break periods if you don't mind?
Greg Anderson: Yes, I think March is going to be -- particularly the peak spring break will be reflective of pre-pandemic revenue stats in terms of loads, the amount of revenue carried by flight. So, I think -- as you think about where demand is relative to the 2019, 2018, where we're there, it's, it's the other weeks that we need the recovery to get that full kind of traveling benefit or traveling growth.
Brandon Oglenski: So, I guess, your point is that you are getting recovered PRASM too, not just demand, because obviously, your capacity is up a lot as well?
Greg Anderson: Yes, the peak spring break will look very much like they did in 2019 or 2018. They're healthy in terms of demand and in any unitized metric you'd like to you'd like to use.
Brandon Oglenski: Okay, appreciate that. And then Greg, on the irregular operation costs here, I get it that a lot of this might have been driven by Omicron, but can you give us a sense of like, how much of this was disrupted because of crew availability versus just normal weather? We had assumed that some of this is going to be ongoing in the future, right?
Greg Anderson: Yes, it's a good question, Brandon. Let me kick it off and maybe Scott wants to add in on it as well. But what I'd say is where -- as I've been talking on this call and as I've been talking about IROPs and given the numbers, I've been trying to be more specific on the customer compensation, which is just a component of the IROPs, but because that's somewhat we believe unique to us. That's what I've been really when I talk about like the $23 million that -- from the fourth quarter, that's what I'm talking about there. In 2019, Brandon, when we had the operating environment, like we did, IROPs were negligible. I mean I think it was like $4 million or $5 million in total for the full year. So, we've been getting out ahead of that. We talked about the staffing, we've talked about parts and things of that nature to try and combat the IROP situation. And so I don't have a thick guide for that in 2022, or buffer, I do -- we do have a little bit, but we think we're going to get ahead of that. Omicron came on quickly and so -- it hit us quickly, but it's -- we think it's abated quite nicely. And in terms of the mix between Omicron and weather, I don't have a percentage, Scott, but I know Omicron drove a lot of it if not.
Scott Sheldon: Yes, I mean, just to sort of put this in context, because then the results really don't show sort of how good we were set up for peak December flying. We basically had call it 900 controllable cancellations for the quarter. 450 of those happened in the last 11 days and that would include crew and mechanicals. And so it was so backend loaded, if you look at the distribution of departures for the quarter, it was very obviously heavily weighted to December, in addition to the back half of December. So, we really set up nicely, weather obviously was impacted, but the majority of that is just -- you go from sort of 30, 40 COVID through polls, going up to 300, in about 12 days. And so I think this is no different than any other carriers. This is definitely different than the Delta variant, we saw a dramatically increased amount of just sick calls, which obviously, you pull them for COVID, that's a 10-day -- five to 10 day sort of events. Our crew sick calls were north of 30% in over a five-day period. It just -- it was such a shock to the system, but prior to the Omicron, sort of, spike there, we were just really, really set up nicely. Drew and team did a nice job sort of matching the capacity to what our crews could handle but yeah, I mean, really was -- the story of this quarter was really the last 11 days. Other than that, it was a fairly clean quarter.
Brandon Oglenski: Thank you.
Operator: Thank you. Our next question comes from the line of Dan McKenzie from Seaport Global. Your question, please.
Dan McKenzie: Hey, thanks, guys. so, the revenue forecasts about 5% to 9.5%, I guess, on a 21% increase in capacity. A couple questions here. Stripping away the suboptimal fleet utilization in the fourth and first quarters, what would the growth look like if no supply chain bottlenecks? And if we can just step -- and then secondly, related that if we can strip away COVID crew impacts? Is there an updated expectation around the timing for when supply chain issues might be resolved? I think last quarter, you had talked about some MRO challenges.
Maury Gallagher: Dan its -- I wish we could tell you. I mean, as I sit here today, I continue to be baffled by the ongoing nature of this. And usually these markets are pretty efficient and they fix themselves. But you have a combination of labor challenges, you've got the combination of just parts and the like. Having said that, our MRO activity is, I was just talking with BJ, throw some comments in here. We've got 10, 11 airplanes in -- undergoing stuff, and it's actually working pretty well. So, you're looking for positive rays of light to show through, but so much of the broad message is still difficult. Stuff isn't on grocery shelves, personnel shortages, pilots in particular moving around very quickly, but the MRO seems to be hanging in there.
John Redmond: Yes, I think just on the induction side, we got ahead of it really well, this year, because there was such a supply of used aircraft that everything's already on property really, for this year, and lots of parts and kits and everything are on hand earlier. I don't know if that's really representative of the heavy maintenance environment, Scott.
Scott Sheldon: Yes, the heavy is definitely more volatile. We do the best we can to be surgical and match spend days to anticipated findings, both routine and non-routine. A lot of these we can deal with paper cuts, but we find non-routines that drive a substantial amount of engineering work, which obviously is tied back to labor and then any component repairs, obviously, that's supply chain, so they can drive definitely increased spend days, and that's where it gets pretty invasive on the schedule. But it's slowly getting better to, I think, everyone's point.
Maury Gallagher: Fleet is going to be more problematic in heavy maintenance. The newer fleet, it's four or five, six years old and while it's a great way to work, we're going to pay more of a price for it this year, just on schedule and availability. So, we're probably going to keep more airplanes on the sideline than we normally would. We're doing a lot of things differently than we normally would at this point still.
Greg Anderson: And, Dan, it's Greg. Let me give one high level comment, just to add here is that we're long-term thinkers and yes, there's going to be noise in the short-term, we're going to get through it, we get through it well, if not better than anybody. And then if the environment starts to stabilize and get more normal, I mean, watch out, we're going to be firing on all cylinders and it's going to be pretty powerful, we think ahead of us, as Maury mentioned in his opening comments,
Maury Gallagher: The best way to approach this, Dan is to come up underneath it. Don't try and time it perfectly and hit it spot on because we've been not -- we haven't been able to do that. But if we come up, make our best guess, you'd rather not be canceling flights, and maybe leave a little on the table so to speak and capacity or you could have done more than just grow that -- you grow into that.
Dan McKenzie: So, I guess, that's really gets to my next question. As we think about this noise, what would growth have been this year without the noise. So, instead of departures up low double-digits with ASMs up about five percentage points to that, this trimming -- is the noise, you're trimming, say five percentage points of growth off of 2022, that potentially could come back in 2023?
Greg Anderson: I think that's a bit challenging to say, you know, I think the biggest growth limiter for us this year and into next year will be more of crew hiring pipeline and more so than other supply chain elements. So, with more crews, we grow more. I mean it's that straightforward. So, I think you can run that as far as you want.
Maury Gallagher: I think it's pretty interesting Dan. I don't think anyone's growing as much as we are. And I don't want to sit here and make excuses for that. But we're in a growth mode, it's just a question of how we do it. And at the end of the day, when you say you want to -- you're going to do something, you want to complete it. And we haven't been able to do that with the regularity and the ability to leave historically, you look at 2019, how well we ran, the whole industry for that matter, we've got to get back to that and we're -- there's so many moving parts, we've got to try and coordinate as many as we can, and I sense we'll get back there because the Omicron stuff has really been a bit of tough, but I don't know about you, but everybody that I'm talking to is just done with changing lifestyles, and all of a sudden closing down and opening up closing down. So, I'm bullish in this -- certainly in the second half of the year, if not, even in the second quarter, we'll be in good shape, even March should be good.
Dan McKenzie: Yes, prudent growth, I get it, under shooting. And then if I need to squeeze one last one in here, going back to the fleet presentation, I'm just wanting to help us tie growth in cost into a CASM-X target, say three years out, so not a guide, but if we just juxtapose growth with scale, I'm just trying to get a sense for what that means to the airline for the route and you guys are delivering a very positive message today, on growth and longer term. And I'm just wondering if you can help us connect the dots on how to think about the cost structure over that longer term?
Greg Anderson: Yes, thanks, Dan, for the question. I mean, I think what I start off by saying is we're focused on margins. And we think the aircraft that we'll bring on with Boeing in the future, that's what we're going to be focused on. So, there's two sides to the equation, cost and revenue and nobody, in our view, can adapt and match capacity with demand quite like us. So, maintaining that flexibility is important. With that said, we think that we have a great cost structure, we'll continue to hold that cost structure for years to come. The announcement of the fleet, the new order with Boeing isn't going to change that one bit. And as we look out for 2023 to 2025, I mean, I don't want to go out and give a guide, but I don't think it's going to materially rise, where we're seeing today, all else being equal, but there's pressures that are going to come. Scott mentioned that now we're in discussions with pilots and there's other items that we want to think about. But I don't want to give a guide other than I would say that our cost structure we feel is in a great spot and we'll continue to focus on that. It's an everyday commitment by all of us, and we'll make sure that it's the right -- it's in the right place moving forward.
Dan McKenzie: That's great. Thanks for the time you guys.
Operator: Thank you. Our next question comes from the line of Helane Becker from Cowen. Your question please.
Helane Becker: Hello, thank you very much. Hi, everybody. So, here's my question. One thing as a point of clarification, I think you said that some markets you're doing a couple times a week, we talked a lot about that. What percent of markets did you say are new versus prior years and was that for 2022 or 2021?
Greg Anderson: So, I mentioned a couple percentages; so 4Q 2021 was about 10%, of ASM and 1Q 2022 ramping up to 12%. So, historically, that's around kind of late 2017, early 2018 levels.
Helane Becker: Right, exactly so. So, those are levels that you've A, done before, and B, you feel comfortable with. It's not getting too far over your students, right?
Greg Anderson: We've certainly exceeded these levels before. So, we're quite comfortable. I think 2Q will probably ramp a little bit again over 1Q, but that that will likely be the high watermark for this year and possibly early 2023 if I had to guess.
Helane Becker: Great, that's perfectly helpful. Thank you. And then my other question is with respect to debt and principal repayments. I see the guide for 2022, is there debt that you could prepay that would make sense or is it -- or not? And I'm sorry, I think you said this, what percentage of the aircraft deliveries this year are financed now?
Greg Anderson: The aircrafts that will be delivered this year, I think there's only one that will not be under a finance lease, Helane. And in terms of our debt where we sit today, I think around well, the so called $1.5 billion, I'm rounding here, it's $500 million of the term loan is all pre-payable, we have some other pre-payable debt on the aircraft side. It's something we'll look at closely, given the market conditions and getting out ahead. And so we're having discussions now and thinking about our balance sheet long-term. And there's I think there's some momentum behind us. I think there's a lot of capital out there to be put to use and so that's something -- it's a great question and we don't have a specific answer for you today other than there's a big chunk of our debt that is pre-payable that we'll look at in the near-term to see kind of long-term -- or in the near-term, potentially refinancing or taking out?
Helane Becker: Okay, that's really helpful. And if I could just squish one more in. Did you issue warrants to the government last year?
Helane Becker: No, I mean, a very small amount, but that’s a very small, because we didn't take the loan, the government loan, we took the grant. And then most of what we received was -- didn't have a loan associated with it anything from $100 million or below for each one of the cycles there, if you will, or each one of the grant issuances. There was no loan or warrants attached.
Helane Becker: Right, because if there are any that the government holds, you could buy this, theoretically, right?
Greg Anderson: Yes, but it's just -- I mean, I can't remember the percentage, Helane, it's something we're not focused on, but it is negligible for us, I mean, just really small.
Helane Becker: Okay, that's really helpful. Thank you, everybody, and thanks for the extra time,
Greg Anderson: Thanks Helane.
Operator: Thank you. Our next question comes from the line Hunter Keay from Wolfe Research. Your question please.
Hunter Keay: Hi, everybody. Drew, you were the only airline Executive three months ago to warn us that COVID wasn't gone yet. And -- by the good call, and I'm kind of curious to get your updated feelings on that? How did you know that? What is it that you were looking at? Seriously, what is it -- what are you looking -- you saw the case count, so what is it that you were looking at the time that gave you some caution on everybody, running a victory lap on COVID being done? And are you seeing any of those same things now, any other metrics that you may look at to give you the same degree of caution? Or do you feel like we're good to go here?
Drew Wells: I feel like I'm getting way, way outside of my lane here. But I think some of this data has come out recently, but it's kind of follow flu season, I very much depends on temperature and humidity, and where people are likely congregating. And that's why you see it in most of the country through the winter as people go inside. And then you see it somewhat in the high humid, high heat areas in the summer as people start to congregate inside air conditioning. And so I think it's more of a seasonality aspects to it than anything. There wasn't something that we were picking up in demand. It was just kind of what we'd seen in terms of trends of cases and where what's happened geographically and made sense from that perspective. But by no means am I trying to pretend to be an epidemiologist, please don't take any of my words says, as serious here. But that's really it, nothing beyond that.
Hunter Keay: Yes, I guess the question was, do you feel a little better now than you did then?
Drew Wells: I do. I feel a lot better about what we're seeing and moving forward. I don't think we're completely out of the clear, but Scott DeAngelo mentioned this in previous calls, each wave has had less of an impact than the previous wave. And I became the bookings, particularly in the peak period, those did not slow down at all. He felt it in the off-peak. So, I do have more confidence moving forward that that even if it doesn't make headlines, again, it won't be quite as impactful. I wish I could say the same with any confidence on kind of the operation side and what it means for COVID pulls. I don't have any good line of sight of that. I don't think anybody does. But it's kind of the next thing to follow I guess.
Hunter Keay: Okay. And then, is there any changes -- and this is one is for Sheldon, maybe or Maury, would you be permitted to make any changes to the bidding process without amending any CBAs? I'm kind of curious, we see these really good peaks and these really bad troughs and if there's a situation where this is sort of the new normal, is there going to be anything you can do outside of the CBA amendments to sort of change the way that you schedule your folks to have a little bit more nimbleness on the bidding process so you could make more schedule changes closer in, or does that require CBA amendments?
Scott Sheldon: Yes, unfortunately, we're sort of tied up there. We were able to come to an agreement. This is in 2020, where you basically in order to keep crews, sort of on staff and try to mitigate involuntary furloughs is to -- how do we pay these people half time, use them when we start to see strength. And just sort of have these guys in standby mode and so we could do that. But the minute this thing was amendable, our hands are basically tied.
Hunter Keay: Okay. Thank you.
Maury Gallagher: Thanks Hunter.
Operator: Thank you. Our next question comes from the line of Duane Pfennigwerth from Evercore ISI. Your question please.
Duane Pfennigwerth: Thanks. So, if you add it all up, how much would you say Omicron is costing you in revenue in the first quarter? Again, a lot of this commentary is very backwards looking, but if we could just estimate between cancels that were maybe people calling in sick as opposed to staffing constraints and lost demand, how many points of revenue do you think you lost there? And to put a finer point on many of the previous questions, are we sort of fully back to the bookings momentum you would expect in a normal period for a time like March?
Greg Anderson: So, honestly, I don't have a great number for you in terms of points of revenue loss due to Omicron. One of the things I think that's challenging with that is, is estimating the true return demand and peak versus off-peak. Like I mentioned, March demand looks fully normal pre-pandemic levels, I'd say zero is the [indiscernible] that -- it probably should be above and beyond really hard to tell. Your guess maybe as good as mine of what January should have looked like without Omicron. It's the shortest booking curve of the year and that’s very, very compressed and the vast majority of booking should come in during a time when Omicron was present and very active. So, I think it's a wild challenge to try to get to that number in a meaningful way for you.
Duane Pfennigwerth: Okay, fair enough. With respect to small markets, I wonder if you're seeing more whitespace. Obviously, constraints, impact regionals as well and the ability to sort of serve some of those smallest markets is going to be impacted, at least for a period of time. So, is your opportunity set, getting bigger here or are there orphan markets, for lack of a better word, that are sort of incremental growth opportunities for you?
Greg Anderson: Yes, I mean, there certainly are -- I would caution with running away too far with this. Remember, we're only a couple years -- three years, maybe now removed from the questions in the opposite fashion. And while a lot of small cities are being added, and our point at that time was we didn't see a lot of degradation in performance, where we were serving those small cities and I would envision the same in reverse. Now, I don't, I don't expect a massive amount of lifts to come through the results. Obviously, fewer seats is better, in general, but not something I would run away with here. We'll have some incremental opportunity, but nothing I'm going to call game-changing.
Duane Pfennigwerth: Okay. And maybe one last one for Maury, as you as you look at the staffing constraints across the industry, during this period of time, how does it impact, if at all, your thinking around M&A in the low cost sector?
Maury Gallagher: Who knows. I think there's a lot of variables in M&A that's outside of just the day-to-day operations. But I think everybody's got their heads down just trying to figure out how to run tomorrow without trying to, kind of, look big picture at this point. But never say never.
Duane Pfennigwerth: Okay. Thank you very much.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Maury Gallagher for any further remarks.
Maury Gallagher: Thank you all very much. We appreciate your calls. And we'll talk with you again next quarter.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.